Operator: Greetings. And welcome to the La-Z-Boy Incorporated Second Quarter Fiscal 2015 Results Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It’s now my pleasure to introduce your host, Kathy Liebmann, Director of Investor Relations and Corporate Communications for La-Z-Boy. Thank you, Ms. Liebmann. You may begin.
Kathy Liebmann: Thank you, Kevin. Good morning. And thank you for joining us to discuss our fiscal 2015 second quarter results. With us today are Kurt Darrow, La-Z-Boy's Chairman, President and Chief Executive Officer; and Mike Riccio, our Chief Financial Officer. Kurt will begin today's call and then Mike will speak about the financials before turning the call back to Kurt for his concluding remarks. We will then open the call to questions. A telephone replay of the call will be available for one week beginning this afternoon. These regular quarterly investor conference calls are one of La-Z-Boy's primary vehicles to communicate with investors about the company's current operations and future prospects. We will make forward-looking statements during this call, so I will repeat our usual Safe Harbor remarks. While these statements reflect the best judgments of management at the present time, they are subject to numerous future risks and uncertainties as detailed in our regular SEC filings, and they may differ materially from actual results due to a wide range of factors. We undertake no obligation to update any forward-looking statements made during this call. And with that, let me turn over the call to Kurt Darrow, La-Z-Boy's Chairman, President and Chief Executive Officer. Kurt?
Kurt Darrow: Thank you, Kathy, and good morning, everyone. Yesterday afternoon, we reported our second quarter results for fiscal 2015. During the quarter, we grew the business, improved our operating performance, made strides in the execution of our 4-4-5 strategy and returned value to shareholders. Specifically, we increased sales 3.8% after a 14.9% increase in last year’s comparable quarter, increased the consolidated operating margin to 8.3%, achieved an 11% operating margin for the Upholstery segment and a 4.4% operating margin for the Retail segment. Experienced a 3.4% increase in written same-store sales for the La-Z-Boy Furniture Galleries network, added eight new stores across the network, generated $33 million in cash from operations, increased the dividend and purchased 640,000 shares of our stock. In summary, from a number of different perspectives, it was a solid quarter overall. I will now take a few minutes to review our three business segments. First, Upholstery, for the quarter sales in the Upholstery segment increased 3.6% and as noted a moment ago, we achieved an 11% operating margin, reflecting the overall efficiencies of our operations. As we work to deliver long-term profitable growth, we continue to make investments in the business. During the period, these included the ongoing implementation of a new ERP system and the replacement of our website and e-commerce platforms. With the digital elements of the consumer’s overall purchase process becoming even more important. It is critical we provide a more inspiring, compelling and easy desktop and mobile site experience. We expect the new website and e-commerce platform to go live in the fourth quarter and we will finish with the ERP implementation throughout our plants in May. As we seek to broaden our consumer base, we are excited with the cadence of new product introductions that are composed of sleeker and more stylist pieces. Along these lines, our new Urban Attitudes collection is tracking well with two sofa styles already in our top 10 in less than a year. And at the October High Point Market, we introduced additional pieces in the Urban Attitudes line and believe the collection has excellent prospects in terms of performance. We are also pleased that our stationary business continues to grow at a faster rate than the growth we are experiencing in our core recliner business, indicating our Live Life Comfortably campaign featuring Brooke Shields is resonating with consumers. While best know for our motion offering and with the belief that we have the largest share in that category, for us the greatest potential for growth is in the stationary sofa market given it is the largest segment of the Upholstery business and where comparatively we have the smallest share. We will continue to invest in the marketing program and plan to develop new commercial for air next spring. The objective of this campaign is to educate consumers about the on trend product we offer and the attributes for the La-Z-Boy brand, including style and comfort, by highlighting the store experience and the complementary in-home design program. Additionally, with the power option in motion furniture gaining in popularity that market we introduced a new line of power recliners and motion sofas with dual motors that we believe will set us apart in the marketplace. At the cornerstone of our growth strategy is the buildout of the La-Z-Boy Furniture Galleries store system which we have dub 4-4-5, our monicker for 400 stores across North America, averaging $4 million for store over a five-year time horizon. And note, we are in the second fiscal year of this strategy. For fiscal 2015, we’re trying to execute 30 to 35 projects across the La-Z-Boy Furniture Galleries network, including new stores, relocations, and remodels. By the end of the year, we’re planning to have 11 net new stores and we’ll also change out 15 old format stores and convert them to the new design -- new concept design. The combined activity will nearly double the number of new stores and the new concept design format over last year’s level. As I mentioned before, these stores are performing at a higher level than the other formats, averaging $4.5 million per store. At the end of the second quarter, 52 of the 325 stores were in the new concept design. And we expect to have about 65 in this format by year end. We are on a good pace of store projects and in the third quarter the network including the company as well as independent dealers planning to complete eight projects consisting of new stores, remodels and relocations. In addition to increasing volume across the La-Z-Boy Furniture Galleries network, we got the opportunity to deliver improved profitability as the additional volume inherent in our store growth will allow us to drive greater efficiencies throughout our manufacturing operation as we leverage the fixed cost structure of our plans. For the quarter, written same-store sales for the La-Z-Boy Furniture Galleries network increased 3.4% following an average of 10.8% over the last three years second quarter. After three, four years of compounded double-digit increases, we did expect the same-store sale growth to moderate and we continue to work to drive consumers to our retail outlet and maximize the sale process. Now let me turn to a brief discussion on our case goods segment. Sales on our case goods segment were $28.9 million, essentially flat compared with the prior year. The operating margin for the segment was 10.4%, primarily reflecting a reduction to our LIFO reserve, which Mike will speak about in a few minutes. Our product refresh for Kincaid and American Drew continue to be well received by dealers and their written order rate for the transitional goods introduced over the last 18 months outpaced their availability in some cases during the quarter. Our occasional business with Hammary remain strong. And all three wood companies introduced a compelling and stylish product assortment at the High Point market. In September, we ceased the production at our Hudson, North Carolina manufacturing facility and are in the process of consolidating and transitioning our warehouse and repair functions, which we expect to be complete by the end of the third quarter as a result of the variable cost structure. Now let me turn to the discussion of our retail segment. Delivered sales on our retail segment increased 15.3% to $84.6 million in the second quarter compared with last year’s comparable period. On the core base of 88 stores included in last year's period, delivered sales for the segment increased 4.6%. The retail segment posted an operating margin of 4.4% equal to that of last year’s second quarter. During the period, we opened five stores in a company-owned retail segment as part of our 4-4-5 store growth initiative. And we entered into an agreement to purchase one store in Mishawaka, Indiana and closed on that transition -- that transaction earlier this month. As we discussed previously, start-up costs associated with new stores, which include labor, rent, advertising and technology compared to segment operating margin. We have said that these costs represented an approximate 250,000 drag in the 90-day period surrounding the actual opening. For the quarter, with five stores opening, these costs were approximately $1.2 million. We have also said that for the year based on our new store activity, we believe these costs will equate to an approximately $0.03 per share impact on earnings related to the company-owned retail segment. But even with these costs for the quarter, our operating margin was in the mid-single digit range which is our stated annual objective for the segment. Furthermore, we believe the investments we are making in the business today to grow our store base will drive future positive performance for the retail segment as well as the company overall as we benefit from the integrated or blended retail wholesale margin. During the quarter, we improved our conversion, ticket count and units per ticket on lower traffic. With more consumers using the web for research, they are shopping fewer stores and we believe this is one of the main reasons for the decline in traffic. That said, the consumer entering our stores tend to be more qualified and educated as a result of their online research and the success of our Live Life Comfortably campaign and as a result, our conversion continues to be positive. For the third quarter, the company plans to open two stores, relocate one, remodel one and close two. These projects were included in the numbers I gave you earlier when speaking about the entire network. I will now turn over the call to Mike to review our financials.
Mike Riccio: Thank you, Kurt. Consolidated sales for the fiscal 2015 second quarter were $366 million, up 3.8%, compared with last year’s first quarter of $352 million. This year reflects the reclassification of Lea and last year reflects the reclassification of both Lea and Bauhaus to discontinued operations. For the quarter, consolidated operating income was $30.2 million, compared with $26 million in the fiscal 2014 second quarter. The company reported net income from continuing operations attributable to La-Z-Boy Incorporated of $19.2 million or $0.36 per diluted share. This compares with last year’s second quarter net income of $17.2 million or $0.32 per diluted share, which includes the $0.01 per share benefit attributable to the reduction of certain valuation reserves against the company's state deferred tax assets. As noted in our press release, adjusted income from continuing operations attributable to La-Z-Boy Incorporated was $0.36 per share in this year’s second quarter versus $0.31 per share in last year’s second quarter. For the quarter, our consolidated operating margin was 8.3%, compared to 7.4% in last year’s comparable quarter. As Kurt referred to earlier, we had a reduction to our LIFO reserve for domestically manufactured inventory and this equated to about $0.02 per share. Because we ceased manufacturing at our Hudson facility during the quarter, the stream of domestically manufactured inventory will not be replaced and our LIFO reserve for this inventory was reduced accordingly. We expect additional reductions in this LIFO reserve over the next several quarters, but no periods without the same significant impact of this quarter. Somewhat offsetting these future reductions will be additional LIFO charges related to the increased inventory and the purchase finished goods earlier. Now let me turn to SG&A. Selling, general and administrative expenses in the second quarter as a percentage of sales decreased by 0.2 percentage points, compared with last year’s second quarter. Incentive compensation costs were $3.1 million lower for the period. The main driver of this decrease was a smaller increase in our share price during the second quarter of fiscal 2015, compared to the increase in our share price during the second quarter of fiscal 2014. Several of our share-based compensation awards are liability-based awards and their cumulative expense to date is adjusted at the end of each quarter based on the share price on the last day of the reporting period. In addition, our prior year results were stronger against the incentive-based targets in the current year, contributing to the decrease in compensation costs in the second quarter of fiscal ’15, compared to the second quarter of fiscal ’14. Partially offsetting lower incentive compensation was spending for investments during the period, including distribution costs, which were mainly associated with our regional distribution center network expansion, as well as technology related to our ERP implementation and the replacement of our web e-commerce platforms. Turning to the balance sheet, during the quarter, we generated $33 million in cash from operating activities and ended the period with $115 million in cash and cash equivalents, $45 million in investments to enhance returns on our cash and $5 million in restricted cash. For the period, we spend $21.2 million in CapEx, paid the $0.06 per share of dividend and purchased 640,000 shares of stock in the open market for $13.6 million under our existing authorized share purchase program. This leaves 6.9 million shares in the program for repurchase and we plan to continue to be opportunistic of the market with respect to buyback activity. As Kurt noted at the opening of the call, the Board voted to increase the quarterly dividend and moving forward it will be $0.08 per share. Of the $21.2 million in capital expenditures for the quarter, about 70% of the spent relates to our new office building. We anticipate CapEx for fiscal 2015 to be in the range of $70 million to $75 million, reflecting costs associated with our new world headquarters, which will be approximately $44 million of the total, as well as for new stores, transportation and equipment and routine maintenance. Because we are in the implementation phase of our ERP system, as this time, most of the costs associated with it are being expensed rather than capitalized. For fiscal 2016, we expect CapEx to return to normal normalized level of about $25 million, roughly nearing depreciation and amortization. And lastly, our effective tax rates for continuing operations for the second quarter of fiscal 2015 was 35.3%, compared to 32.5% for the second quarter of fiscal ‘14. Our effective tax rate varies from the 35% statutory rate primarily due to the state taxes less the benefit of the U.S. manufacturing deductions and foreign earnings and jurisdictions with lower tax rates in the U.S. The effective tax rate was lower in last year’s second quarter due to release of a portion of our valuation allowances relating to our U.S. state deferred tax assets, resulting in a net tax benefit of $0.9 million. For fiscal '15, we don’t expect our effective tax rate to differ substantially from the current rate. Now, I’ll turn the call back to Kurt for his concluding remarks.
Kurt Darrow: Thank you, Mike. We are making a series of strategic moves and investments to drive profitable growth throughout our three business segments, including our store build, investment in advertising and technology and initiatives to drive supply chain optimization. As we stated in the past, our annual conversion targets on fully incremental volume, even with these investments, is 20% to 30%. According to our planning and forecasting, we believe approximately 80% of our volume growth for fiscal 2015 will be truly an incremental. The La-Z-Boy brand remains the strongest in the home furnishings industry. Our marketing platform is delivering results and our merchandising efforts have never been stronger. These elements, coupled with an efficient plant structure, will enable us to drive growth and leverage the fixed cost structure in association with our manufacturing facilities. And as our company-owned retail segment continues to grow, the overall enterprise will benefit from the blended wholesale retail margin inherent in our integrated retail strategy. We believe we have an exciting future ahead of us, the one where we will drive profitable growth and return value to our shareholders. We thank you for listening to the call this morning. And I will turn things back over to Kathy. Thank you.
Kathy Liebmann: Thanks, Kurt. We will begin the question-and-answer period now. Kevin, please review the instructions for getting into the queue to ask questions.
Operator: [Operator Instructions] Our first question today is coming from Budd Bugatch from Raymond James. Please proceed with your question.
Bobby Griffin: Good morning, Kurt, Mike and Kathy. This is Bobby actually filling in for Budd. Congrats in the quarter and thank you for taking my questions.
Kurt Darrow: Good morning, Bobby.
Bobby Griffin: Just real quick. Kurt, I was wondering if you could provide a little color on how much store startup costs during last year’s second quarter or we can get a little bit year-over-year comparison.
Kurt Darrow: I don’t have that number in front of me, Bobby, but I would say that the bulk of our charges for new store startup will be in this for six months. We will have a little charge here in the third quarter, because I think we are opening three stores that will be little or no effect in the fourth quarter. So for planning out, we’ve probably utilized a little over $0.02 or the $0.03 that we have told you, but the comparison to the last year, I don’t have right in front of me.
Bobby Griffin: Okay. Just congrats on operational efficiency there with the store startup costs to maintain flat margins. And then secondly, you mentioned commercial is going forward for the strength, how should we think about ad spending as a percentage of sales that should stay roughly the same or maybe tick up a little bit?
Kurt Darrow: So our philosophy and our strategy is that we continue to up spend as we have the volumes to do that and the volume growth, but our percentage of what we spend on an annual basis hasn’t materially changed year-over-year for the last couple years, even though we have -- we are spending 15%, 20% more as we grow. So our objective is to keep our percentage of advertising consistent and to slide up with the growth.
Bobby Griffin: Okay. And then lastly for me, is it possible to get a little bit of color on the cadence of sales during the quarter and how things progressed?
Kurt Darrow: There was a huge difference quarter-to-quarter, Bobby. It was -- the big event in this quarter was Labor Day weekend and that was strong for the industry. And then, there was a falloff after that and then October bounced back pretty well, but there wasn’t 5 or 10 point differentials month-to-month, but October ended on a good month and we are looking forward to a strong holiday season.
Bobby Griffin: I appreciate that color. And also Kurt thank you for the modeling help on the incremental volume. That’s very helpful knowing that about 80% of this year’s growth will be incremental. And best of luck going forward.
Kurt Darrow: Thank you, Bobby.
Operator: Thank you. Our next question today is coming from Todd Schwartzman from Sidoti & Company. Please proceed with your question.
Todd Schwartzman: Hi, good morning, folks.
Kurt Darrow: Good morning, Todd.
Todd Schwartzman: I wanted to compare the op margins on upholstery. You mentioned 11%. It looks like it was down year-over-year about 40 basis points or so. I was just curious what gets you -- what gets you higher, what gets you maybe to the teens. Is there maybe some gross margin upside regarding manufacturing efficiencies, maybe above and beyond cellular or maybe there is some more run rate to come there? I am just curious what those factors might be.
Kurt Darrow: Todd, I think the biggest opportunity we have as we continue to grow is to utilize the capacity that we have in our existing facilities. We’ve stated numerous times the last couple years that we have somewhere between $250 million and $300 million of capacity available in our existing plants. So if they were making that much more furniture and our clients are absorbing the fixed overhead, I think our margin would be improved. And when I say the capacity we have the space, we don’t have the people, we don’t have them trained, we have to build out them ourselves. But once we moved all of our cut and sew out of our domestic plants to Mexico, it opened up space for future production. So from my standpoint, taxing the plant volumes-wise with additional sales is the best way for us to improve our margins.
Todd Schwartzman: So once that occurs, Kurt, relative to the 11%, relative to the 11.4 of a year ago and maybe if you want to kind of assign a volume number go along with it, but where can the margin go?
Kurt Darrow: We are comfortable with the targets we’ve given on our segments today. In this industry, it’s not easy to make a double-digit operating margin. So I don’t want us to get too far ahead of ourselves, but certainly we’re already striving for more efficiencies, cost reductions, supply chain optimization. So we are not settling where we are at, but to make a projection on where it could go in the future would be premature.
Todd Schwartzman: Got it. And between sofas and recliners or maybe sofas and loveseats versus recliners, which has seen the greater penetration thus far of the power component as a percentage of total sales of that particular product category?
Kurt Darrow: We offer power options on chairs and motion sofas and on modulars or sectionals. So we have it on any of our furniture that has a motion component. For us the largest penetration has been in chairs since that’s our namesake and that’s what we are known for. But we are real pleased with the penetration we’ve had in the other categories and think this new mechanism that we introduced that market will take up by power percentage even higher.
Todd Schwartzman: Is the percentage 50% on recliners, or is it something less?
Kurt Darrow: Not yet, but it’s something less, but it’s growing all the time and it’s gaining more popularity. And I think the potential to get it to that level is within our reach. When we get our research to introduce this, I think the number was closer to 70% of all recliners sold in Europe are powered. And so there is lots of opportunity for growth in that category going forward.
Todd Schwartzman: And even domestically it seems the industry is headed in that direction, you maybe the leader, but I would think that competitors offering similar types of platforms is probably -- probably helps La-Z-Boy at the end of the day.
Kurt Darrow: It does. However, we have a differentiation with our mechanism that has individual back and foot rest powers. So, all of our power units actually have two motors in it as opposed to one due to the uniqueness of our mechanism. And I just -- as I’ve said to people, Todd, if you think about, I don’t know how many years ago, but 25 years ago, you can only get power windows on Cadillacs.
Todd Schwartzman: Right.
Kurt Darrow: And today I don’t think you can find a car without power. And I think you’ll see the same kind of phenomena over time happen with this category.
Todd Schwartzman: Yeah, I know, it’s definitely ubiquitous. On the Urban Attitudes, Kurt, you mentioned the two sofas are among your top 10 sellers. Other than that, are there any other surprises, positive or negative that you want to cite regarding Urban Attitudes?
Kurt Darrow: So we are thrilled with the performance to-date. We give it a prominent positioning inside the stores. And the last quarter, it exceeded 30% of all of our sofa business. So the collection in total is meeting and exceeding our expectations of what -- but it also says too is that we are getting a customer in our stores that wants that products, that needs that product based on their living spaces. And we think there is continued upside potential here.
Todd Schwartzman: You are saying in Q2 more than 30% of your sofa sales were of the Urban Attitudes collection?
Kurt Darrow: That’s correct.
Todd Schwartzman: Okay, great. Last quarter you said you planned for a second quarter for seven store openings. I am not sure if that was the whole network or not. But just want to kind of reconcile your expectations with the performance as it does look like you do your seven goal or is that five relative to your seven goal?
Kurt Darrow: No, we primarily, Todd, talk in terms of the network when we give you numbers. The 30 to 35 projects is the network. And after they are open, we’ll call them out. But the other thing is, this is a fluid situation depending on how fast we can get stores remodeled, the weather building, sometimes stores float between quarter-on-quarter. We are pretty confident that the annual number is within the one or two store differentials, but quarter-to-quarter it can change sometimes.
Todd Schwartzman: Right. And then annual net project number that’s unchanged from three months, is that correct?
Kurt Darrow: That’s correct.
Todd Schwartzman: Okay. And despite -- buying back the 600,000 shares, it looks like the diluted share count crept a little higher. Did you expect this to repeat in Q3, especially given the 33% dividend increase?
Kurt Darrow: I’m not sure I get that number. I will have to look back at that and let you know. I didn’t think we crept up this quarter because our diluted share of -- the diluted portion of it has subsided from this year end. So, I will have to get back with you on that. I don’t know that on top of my head.
Todd Schwartzman: Okay. Sounds good. That’s all I have got. Thank you.
Kurt Darrow: Thank you, Todd.
Operator: Thank you. [Operator Instructions] Our next question is coming from Matt McCall from BB&T Capital Markets. Please proceed with your question.
Matt McCall: Thanks. Good morning, everybody.
Kurt Darrow: Good morning, Matt.
Matt McCall: I also appreciated the commentary, Kurt, around the projected growth and how it’s going to break out next year. A couple of questions on it. You talked about 20% to 30%, I think that’s referring to the 80% that’s truly incremental. Can you talk about what gets us to the high-end versus the low-end of that 20% to 30% range?
Mike Riccio: From our standpoint, our greatest margin conversion would be if all our additional sales came through the hundred plus La-Z-Boy stores we own and we manufactured it all, and we would get additional conversion at both the retail and the wholesale business. But as we said many times, it depends on where the business comes through. On the low side of it, would be our Casegoods business because of its import model and it doesn’t have as much upside leverage but has less downside risk. And if the high side would be our retail business as it grows and covers its fixed cost of rents and things like that. So those are the outliers but we’re pretty comfortable because of the mix of the three businesses that range covers us from top to bottom.
Matt McCall: Okay. And then when we think about the other 20% of the business, how do we -- I know you've given some components with new store drag and things like that, but how do we think about the incrementals for that 20% of the growth?
Kurt Darrow: Well, that 20% would have all the costs associated with it. So that part of the business would be closer to our normal operating margins in the segment because it's coming with the same costs that we started with. Now, they probably would do a little better because there's certain things that we get benefit in the more stores we have and back office situations. But it won't come anywhere close to the 20% to 30%.
Matthew McCall: Okay. And then most of that’s in retail where we -- because that’s where the new stores are coming in?
Kurt Darrow: Right.
Matthew McCall: Okay. All right. And then Mike, you referenced the ERP impact on the income statement. What's the total impact on EPS going to be in 2015 and will you have any impact on your results in 2016?
Mike Riccio: We probably have the same cadence throughout the year on ERP as we go through and add a plant every quarter. Hopefully, as we work on the next couple plants in the quarter and we go live -- every quarter we're going live in one plant. And so the disruptions in the plant, as well as the costs will subside as the year goes on. And then next year when all the plants are on after we get through the first quarter, then we'll be mirroring expenses last year. And then as we put in our sales order management system, I don't see much of a difference over 2015 and 2016 because both years will be expensed, where last year we're capitalizing, this year we're expensing. We should not see a significant differential quarter-over-quarter on a negative basis on the ERP implementation.
Matt McCall: What about on a positive basis? Will you see less of an impact in ’16 than you are going to see in ’15?
Mike Riccio: It should be less of an impact as we get the plants all done and we’re just working on the front end. Yes. But it will be more in the second half of the year, Matt, than the first half because we’re going live in our largest plant in the summer.
Matt McCall: Okay. And so what would that positive impact be, a few million or…?
Mike Riccio: No. It won’t be that significant in the second half. But we will have some less disruptions in the plant as well. So as we get through this year, we will be able to give you a little more color on that, but I don’t - -it won’t be millions of dollars.
Matt McCall: Okay. Where there is the disruption in this quarter, what is the disruption reference?
Mike Riccio: Okay. Okay. Were there disruptions in the plant this quarter? What's the disruption reference?
Mike Riccio: Well, the disruption reference is as we go live, we have to stop manufacturing during the period of time. There's a blackout period in the plant as we convert the inventory and do that. So every quarter, we're going to have some disruptions in the plant where we're not making furniture for a period of time, as well as getting the next plant ready to go live. So all we're saying is that as we're converting the numbers during the next couple quarters, we may not get the highest of our conversion even though we're still making good margin.
Matt McCall: Okay. Okay. All right. So that’s separate from the new store drag and that’s included in that 20% to 30% operating contribution?
Mike Riccio: Correct.
Matt McCall: Margin range. Okay. Got it. And then Kurt, you referenced the $4.5 million average in each store. I guess, that’s the first part of the question is going to be, is there any change there. I assume there is not but as we look at the source that you’re targeting for growth either converted or new stores? Is there any reason to not use $4.5 million? Is there anything that’s funky about those markets?
Kurt Darrow: But first of all Matt, we will give you as much information as we can in February about the performance of the store network with the performance of our various store format within the network and the progress we’re making with remodel as oppose to new stores. And there won’t be uniformity that every store does $4.5 million. Depending on the size of the market, some of the stores don’t have the potential to do it. But if we take a store that was in the old gen and maybe it was doing $2 million and it went up to do $3.5, we’ll take that. And so we also will have stores that do $5 million, $5.5 million, $6 million to offset those. So we’ve talked about the average. But to just plug in every store doing that same amount of volume is not practical.
Matt McCall: Okay. But the $4.5 million still a good average over time?
Kurt Darrow: Yes. That will be at that position.
Matt McCall: Okay. Thank you, guys.
Kurt Darrow: Thank you, Matt.
Operator: Thank you. Our next question today is coming from Kristine Koerber from Barrington Research. Please proceed with your question.
Kristine Koerber: Good morning. I have a couple questions. First, I wanted to follow up on Urban Attitudes, just given the success of the collection. Do you have bigger plans for Urban Attitudes over the long term? I mean, should we expect to see continued expansion of the product assortment? What about standalone stores for the collection? Anything like that?
Kurt Darrow: We’re continuing to maximize what we have introduced a year and a half ago and added to the collection. But I think what it says more than just a collection is I think it talks about how our merchandizing and marketing team read the market and saw the void and saw the need. And so whether we call it part of the collection this idea of up styling, this idea of smaller scale, this idea of thinner lines with silhouettes, I think that’s a trend that’s going on in the industry and with people downsizing and more people living in condos. So we wouldn’t expect our entire upholstery line to be Urban Attitudes but certainly the success of it so far has been wonderful to see. And I think we’ll continue to listen to the customer of what she’s coming in to buy from us and make sure we react to her needs.
Kristine Koerber: Okay, that's helpful. And then as far as the casegoods business, do you -- are you still targeting that 4% to 6% operating margin now that the division has been restructured?
Kurt Darrow: Yes, we are. And we're -- we had the LIFO pick-up this quarter, but we're still combining some functions in the casegoods business. We're still downsizing from one office to -- from two offices to one. So there's still some more expenses to come out in some time here to do that. But yes, we think this is, at this point, a mid-single digit operating business. And we should be in a better place to achieve that now that we don't have the manufacturing facility.
Kristine Koerber: Okay. Great. And then headquarters, where so you stand with the new headquarters as far as completion?
Kurt Darrow: We are in the final stages. We should be moving in, in the first part of February. And I hope by the time we have the next call, we can have it from the new building.
Kristine Koerber: Okay. Great. And then lastly, I know that you recently hired on a person. It was a newly created role, I guess strategy and analytics. Can you tell us what this individual, what role he'll play and why you've decided to create this position?
Kurt Darrow: Sure. So we are, as we've said in a lot of things, investing in the future and trying to find other ways to grow the business. And we need somebody that has broad experience. You're speaking of Aaron Brown, who is coming to us after, I think, 14 years with BCG. And so he has a wealth of experience, both domestically and internationally. And we need somebody that’s not prudent with the day to day business to help us chart a pathway as some other things that we could be doing. We’re in the financial position to look at other options. And so it was a needed position for us to expand the reach and view of what La-Z-Boy is capable of doing in the future.
Kristine Koerber: Okay. Great and thank you very much.
Kurt Darrow: Thank you.
Operator: Thank you. We’ve reached end of our question-and-answer Session. I’d like to turn the floor back over to management for any further or closing comments.
Kathy Liebmann: Thank you for participating on our call today. Should you have any follow-up questions, I will be available and give me a call. Have a great day, everyone.
Operator: Thank you. That does conclude today's teleconference. You may disconnect your lines at this time and have a wonderful day. We thank you for your participation today.